Operator: Good day, and welcome to the NFE Second Quarter 2022 Earnings Call. Today’s conference is being recorded. And at this time, I’d like to turn the conference over to Brett Magill, Managing Director and Head of Investor Relations. Please go ahead, sir.
Brett Magill: Thank you, Emma. Good morning, everyone, and welcome to New Fortress Energy’s second quarter 2022 earnings call. This call is being recorded and will be available by replay within the Investors section of our website under Events & Presentations. There, you’ll also find our Q2 2022 investor presentation, which we’ll be referencing throughout today’s call. The presentation includes a series of important disclosures related to forward-looking statements and non-GAAP financial measures. We encourage participants to review these important disclosures in addition to the description of risk factors contained within our SEC filings. Joining me here today are Wes Edens, CEO and Chairman of the Board; and Chris Guinta, Chief Financial Officer. Also joining today’s call are other members of the team, including managing directors, Andrew Dete and Patrick Hughes. With that, I’ll turn the call over to Wes.
Wes Edens: Great. Thanks, Brett, and thanks all for dialing in. Good morning. So let’s jump into it. So as usual, we will go through our – the presentation we posted to our website last night, and with that, let me start the beginning. So Page 4, a very, very good quarter for the firm by all measures. Total EBITDA, $283 million. If you take actually the last four quarters together, our trailing four quarters EBITDA is now just a shade over $1 billion, so $1.05 billion, so a real milestone. We are affirming guidance for the remainder of the year that we expect 2022 to generate approximately $1 billion in EBITDA, and we’re actually providing guidance for 2023 of guidance of $1.5 billion, which we think has a substantial amounts of upside depending on the timing and nature of the FLNG installation. So from a financial metric standpoint, a very, very productive quarter. If you flip to Page number 5. We have many significant updates to highlight for the quarter, and I apologize for the dense words on the simplifier, and I’d like to make things be simple and clear. The reality is as we had so much activity for the quarter that even trying to convince under this list was a bit of a challenge. Let me just touch on the highlights and Andrew Dete and Chris Guinta later will actually give a bit more detail on it, but let’s just start at the top. Terminals & Customers. I mean our commitment to our customers and our downstream terminals is stronger than ever. This is the core of the mission of the company to help address energy poverty, energy security in the world, while at the same time, being a key player in this transition to a cleaner energy future. In the quarter, we substantially completed our Barcarena and Santa Catarina terminals and made significant progress on permits for Ireland. So it’s something we’ve been working on for a long time, but we are now more optimistic than ever that we will get to a positive resolution for the Irish terminal as well. In addition, we leased one of our FSRUs into the Netherlands for the first exposure to Europe. Europe, obviously has had a very tumultuous year with the February 24 invasion of Ukraine. There’s a lot of activity from a variety of different nations in Europe to build terminals and get them online, especially with the pending winter coming up. We successfully leased one of our FSRUs into the terminal. Actually, I think that the Christine date of that is September 8. It will be the first of the European terminals turned on. We believe now that Europe is a bright part of our future. And that as we generate FLNG volumes, of course, we’ll bring them to all of our customers around the world, but we think that the European customers are going to be a big part of what we see. Eventually, the energy crisis will abate, and our downstream customers and assets are the critical piece of our business model. We’ve invested nearly $9 billion in eight years building out this infrastructure. This is what it will allow us to take the volumes that we create ourselves, distribute them around the world to our customers and be a meaningful part of the change in this energy transition. Two other highlights for the quarter. We told you earlier that we intended to self-finance all of our activities. The goal that we set for ourselves is to generate $2 billion to $2.5 billion of internally generated capital. So we didn’t have to go back to shareholders, didn’t have to do corporate financings in order to do so. The financing markets have been a mess. It’s been a very difficult first half of the year and the financing markets with all of the inflation and financing challenges in the market. Notwithstanding that, I’m very happy to report that we have done what we set out to do. We can now confirm that we do not believe that we need to raise incremental capital to finance our growth. So being self-financing for us in this market is the top of the list in terms of the accomplishments for me for the quarter. Andrew will speak about that here in just a few minutes. This speaks volumes about the essential nature of our infrastructure assets. It also speaks volumes about the people that actually did this work on our behalf. So very, very, very happy with the accomplishment there. Lastly, we made significant strides in the Hydrogen business. As we decide, we actually – there was a press release that was issued this morning by Plug Power. We’re happy to confirm that we are partners with Plug that we are – they are going to be the equipment provider to us on our first hydrogen plant. The energy bill that is currently being contemplated by Congress, we think puts the U.S. squarely into the gun sides of being the world leader in the production of hydrogen. I think when you look at energy transition, the nature of the discussion to date has been one that is a bit of a false narrative in my view. In other words, that we were going to somehow seamlessly transition from dispatchable fossil fuels of gas, coal, et cetera, directly into non-fossil fuels in wind and solar and somehow that’s going to be a meaningful transition. That is a false narrative. It’s a dangerous narrative in my view and one that is actually proving itself to be very, very perilous. With the dislocations that have happened in Europe this summer, we now have seen massive switches back to coal. We now expect coal to be used as much this year as it was used during its peak year of 2013. We expect next year to be a higher amount for it. So obviously, the energy security has trumped climate change in this particular case. If you believe in the perils of climate change, which, of course, we all do, the logical answer is you have to be heavily invested in hydrogen and in nuclear. We don’t intend to have a nuclear component of our business here. But the hydrogen is something we’ve talked about for the last 2.5 years. And this announcement this morning is a meaningful milestone to actually establish our first project in this regard. So with that, let me turn it over to Andrew.
Andrew Dete: Thanks, Wes. Happy to be with you guys this morning. Great quarter for NFE. So I’m on Page 9, and I want to give you a quick update on the snapshot of our assets and in the portfolio. And then on Page 10, I’ll kind of go through our commercial highlights for the quarter. So Page 9 just gives you kind of an update of where we are. So we’re operating and developing over 37 MTPA of downstream regasification infrastructure in seven different countries. We own and are developing over 3,000 megawatts of power at our terminals. And we have eight MTPA of FLNG production capacity under construction and under development. So this map is a little cleaned up, a little updated from last quarter and kind of shows you where we’re at and gives a good sense for the integration of the portfolio. Flipping to Page 10. And I just want to echo what Wes said at the front, our core business at NFE is really serving customers. So we seek to serve downstream LNG demand over long-duration contracts that gives energy security and lowers emissions for our customers. And also, will deliver long-term, stable and growing cash flows to investors. In this quarter, we’ve made some strides on doing that. So on the right side of Page 10, our updated numbers. If you add in the contracts we signed over the last quarter, so the volumes to the Jamalco refinery, the Barcarena PPA and the increase in extension of our volumes with CFE, that takes us up to 136 TBtus on a 2023 run rate basis on 65 contracts and increases the volume weighted average life to 15 years, up from about 12.5 years. So great strides in terms of increasing our overall portfolio in terms of volumes, and actually increasing the duration. That 15 years is something we think speaks really highly to the quality of our infrastructure and the kind of the core long-term contracts at NFE. On the left side, I want to give a little more detail on a few of the real commercial highlights for the terminals, and we’ve broken this out into terminals, power plants and LNG vessels. Starting at the top, the Barcarena terminal is complete. That’s an offshore terminal, a 3-kilometer pipeline and a gas conditioning station that will initially serve Norsk Hydro starting next year in 2023. And then we’ll also serve our Barcarena 600-megawatt power plant starting in 2025. We have line of sight on over $100 million of EBITDA on just those two contracts alone and great growth prospects in Barcarena as we continue to convert industrial customers to LNG from their current HFO and oil-based use and as we build and own more power in the region. Santa Catarina terminal is an offshore terminal as well with a 33-kilometer pipeline and will be connected into the transporting gas pipeline and the entire interstate pipeline system in Brazil. This is over 90% complete today, and will be completed in Q4. This will be NFE’s first terminal connected to a big interstate pipeline network, and we expect to start commercial operations in 2023. And then as we’ve announced and as Wes hit on, we’ve increased the volumes and extended the term of our overall partnership with CFE at our La Paz terminal and now we have a 10-year contract there. Moving on to power plants. I’ll start with Sergipe. So we sold our 50% stake in the 1.5 gigawatts Sergipe power plant, enterprise value of $1.3 billion for the 50%, which nets NFE $550 million in proceeds after paying down asset level debt. I think this is a great example of our capabilities at NFE. We took over this plan almost 1.5 years ago when it was still under construction. We finalized construction. We stabilized the team in operations. We have over 7,000 run hours and now we’ve been able to connect that power plant also to the main interstate gas pipeline network in Brazil. And we’re selling that as a very productive asset to Eneva, which is a public company in Brazil and a great long-term owner of this asset. Demonstrate kind of how the downstream infrastructure flywheel continues to work for NFE. We’ve also in the same quarter commenced construction on our power plant in Barcarena. This is 605 megawatts on a 25-year PPA, which is very unique, both for its duration and because the gas pass-through in that PPA is actually indexed to JKM. So it gives us two things we’re really looking for, which is exposure to LNG indexes like JKM and long-term contracted duration. We’ve signed an EPC contract, fixed price and schedule with Mitsubishi and Toyo, which is investment-grade consortium and very excited to start construction on that power plant this quarter. On our LNG vessels, we’re very excited about our partnership with Gasunie, so we’ve chartered the Golar Igloo FSRU on a five-year term. That FSRU will be deployed to Eemshaven, Netherlands in early September. And we’ll start the first new regas terminal in Europe. This terminal along with the Gate LNG terminal will double the capacity for regas in the Netherlands and allow them to effectively combat gas shortages coming from their pipeline supply from Europe. So very excited and have had a great experience working with Gasunie. I think at NFE, we’d like to think ourselves as lean and moving quickly, but it’s been great to be in partnership with somebody like Gasunie, who is motivated to move just as quickly and implement a terminal in really record timeline. So really excited about that and excited to inaugurate the terminal in September. And then I’ll touch on this a little bit later, but we also have signed and announced our $2 billion enterprise value JV with Apollo. So we’ll own 20% of that JV, Apollo will own 80%. We’ll sell our 11 LNG vessels into the portfolio and charter those back over a very long-term. So we retain control, we free up balance sheet capital and we have a great partner to continue growing our shipping portfolio over time. Talk about that more in a minute, but Chris, turn to you for now.
Chris Guinta: Great. Thanks, Andrew. Good morning, everybody. Let’s turn to Page 12 and talk about Fast LNG. Since our earnings call in May, we’ve continued to make material progress on our FLNG initiatives. On the next three slides, we’re going to outline the advancements on the location and the deployment opportunities for FLNG and the construction progress we’ve made as a result of the teamwork with our partners. Look at Slide 13. We’ll first talk about the how and where we will put our FLNG assets into service. Over the last four months, we’ve expanded our deployment location options from one to three sites and are now actively permitting over 8 million tons per annum of capacity. On our Louisiana option, we submitted permits for 2.8 MTPA on March 30, 2022, our top-flight permitting team has regular and active dialogue with Marriott and with the Coast Guard administration coordinating with them every week to make sure they have all the information they need regarding our Fast LNG project. On July 15, we received 97 total comments in our first full information request and responded to all of these requests in just two weeks. The second location for us is an exciting partnership with the CFE in Mexico. This is a location offshore Altamira and can accommodate up to three FLNG assets. And just to be clear on the background here, there’s an existing pipeline that flows U.S.-sourced natural gas molecules from Brownsville, Texas down to Altamira, Mexico. This pipeline has a capacity of 2.6 Bcf per day, but is currently only utilized about 20% by the CFE, who is paying a fixed transportation cost for their unutilized capacity. This is the thick blue line we show on the map here. Last month, NFE signed an agreement with the General Director of the CFE and with Mexican President, López Obrador, to agree to an economic partnership whereby NFE will enter into a GSA with the CFE to source feed gas and move the molecules to our FLNG assets on a firm basis. And further, the Mexican government agrees to expedite the permitting process. In exchange, NFE will compensate the CFE for their cost of transportation and the CFE will receive 10%, 15% and 20% for the first, second and third assets, respectively, which brings Mexico LNG cargoes for use as they continue to transition to gas-fired power. For the CFE, this deal represents hundreds of millions of dollars annually between the savings on unused pipeline tariffs and profits from FLNG cargo sales. For NFE, this allows us quick access to existing permitted infrastructure and once operational will provide us with over 60 TBtu annually of LNG per asset that we can either market or sell through our downstream terminals. A third location we’re excited to announce is another partnership with a Mexican state-owned company, in this case, Pemex to develop an integrated upstream and floating liquefaction project offshore. The Lakach field pictured on the map near Veracruz and located 70 kilometers offshore was originally discovered in 2007 and has approximately 1 Tcf of proven reserves, but was stalled by Pemex mid development. Much of the engineering and the procurement has already been completed and will be provided to NFE as part of the agreement. NFE will be responsible for the completion of seven offshore wells, development of the field and subsea infrastructure and the installation of a processing rig. And in exchange, we’ll receive approximately 70% of the cash flows generated primarily from selling gas both to NFE’s Fast LNG unit and selling gas onshore to Pemex. This provides Pemex with needed gas to sure gives NFE approximately 70 TBtu annually that we can sell our market. Additional upside in Mexico includes two nearby gas fields to Lakach, which have an additional 2 Tcf of gas reserves. We’re very excited about this model and this partnership with Pemex, which we think can be repeated in multiple locations globally. On Page 14, here’s a quick update on the execution efforts of our FLNG assets. I was down in Corpus two weeks ago, and saw firsthand the amazing progress the team has made, and I’m very excited that our efforts to optimize the design and the construction process are working. Engineering and material procurement for FLNG 1 is 100% complete, and overall, the project is approximately 70% completed. Critical long-lead items have and will continue to arrive at Kiewit shipyard despite global supply chain constraints, which allow us to maintain our aggressive timeline without any delays. This includes the photographs you see on the left side of the page from Baker Hughes’ MR compressor, the chart, cold box air coolers, gen sets from Siemens and other gas treatment equipment in order to mitigate any potential supply chain issues. We deliberately choose to pursue long lead items for FLNG units two through five, given the design specifications are known. The conversion and refurbishment of the jack-up rigs is nearly done, which allows them to be ready for module installation in November, and the module fabrication is progressing on time and on schedule. First Fast LNG assets are expected to be completed in Q1 where they will then sail away to begin commissioning offshore. Quickly on Page 15. As I just mentioned, NFE has been developing the Fast LNG using the common design and equipment but different types of marine infrastructure to allow for situational flexibility to install these units in different types of environments. As a reminder, from a marine infrastructure standpoint, we have three jack-up rigs that serve as our operational asset base for FLNG 1. We started fabrication on jackets and decks on the U.S. Gulf Coast, which will make up FLNG 2 and 3. And earlier this year, we purchased two semisubmersible drilling rigs. These are the Sevan units that are currently undergoing demolition and refurbishment where they will receive modules at the Sembcorp yard in Singapore. These assets will serve as FLNG 4 and 5. Given we’re using same design and layout for the modules, combined with the procurement efforts from our partners, the timeline for module fabrication is down around 14 to 16 months. And once the modules are completed, we are then able to start the placement, install hookup and commissioning of the units, which can be completed in approximately four to six months. In the table on the right side of the page, you will see FLNGs 1, 2 and 3 are all predominantly fabricated in Kiewit yard in Corpus. With two units online next year in the third, beginning 2024. FLNGs 4 and 5 will both be completed in Singapore and are expected to be operational in 2024. Last point regarding commissioning and operations, we’re already staffed and started that process as well. Procedures, training, sequencing, et cetera, will ensure that when these assets arrive on site, we minimize commissioning timelines and maximize operational uptime. Andrew?
Andrew Dete: Thanks, Chris. Amazing progress. On Page 17, we want to talk about funding Fast LNG. So about six, seven months ago, we sat down and looked at our aggressive plans in FLNG, and we laid out what we thought success would be in terms of a funding plan. And we knew there were probably three things with that. One was no new corporate financing, so no equity or debt issuances. Two is, internally generating that capital through asset sales. And then three, was obviously laying out a timeline and plan and sequencing that works so that as we got assets online, we use the cash flow from those assets to continue to develop our program. So I think we can successfully say, we’re on the way. We’ve done that. So we’ve raised over $2 billion in asset sales. Notably, the big ones there are the Sergipe power plant sale and the ships JV with Apollo. And we have no financing required to fund our Fast LNG program. We’ve also, this quarter, increased our letter of credit facility to $250 million, really critical for us because that allows us to place LoCs on a lot of our kind of development and construction needs and frees up a lot of cash. So great liquidity and really, I think, a success in terms of our financing and funding plan for FLNG. Page 18, I want to provide just a little more detail on some of our asset sales. These do a couple of things for us in addition to funding. They really also simplify and focus our business model as we move from owning and operating ships to chartering in ships. And the Sergipe power plant is kind of an amazing story for us, but ultimately, one where we weren’t supplying the LNG so became non-core to us and was a great chance to recycle balance sheet capital. So on the left side, our ships monetization, over $1.1 billion of proceeds. We maintain long-term control over the shipping assets. We retain great upside, 20% ownership in the JV. And then – and potentially most importantly, we have a great partner in Apollo for future growth. So this is really a platform that we plan on growing as we need more ships for our operations. And we really think Apollo is the right group to do that with. Now we expect this to close the week of August 15, and a lot more good stuff to announce here. On the Sergipe side, I think we’ve talked about this one at length, but really a great outcome for us. With this is a deleveraging transaction where in addition to getting proceeds, we’re also paying down a lot of debt that’s on our balance sheet. And we’re just really happy with how the last 1.5 years has gone in terms of kind of taking over that asset, stabilizing the operations and getting to a great outcome. Wes, turn it back to you.
Chris Guinta: Actually, I will quickly talk about the financial performance. So if everybody could please turn to Slide 20. For the three months ended June 30, we had EBITDA of $283 million, which as you’ve heard from Wes, takes us to over $1 billion on a trailing 12-month basis. The terminal segment operating margin was $238 million, another $90 million from the ship segment, and you can find more detail in the appendix and in the Q. The SG&A was flat quarter-over-quarter as we continue to tackle some efficiencies on third-party service providers and process automation that will show up toward the end of the year. As is further disclosed in the Q and the press release, we did have onetime non-cash impairment charge in the second quarter related to the CELSEPAR asset transactions. This write-down was approximately $315 million. When you exclude this nonrecurring adjustment, our net income from the quarter was $146 million and earnings per share was $0.69. The results this quarter really solidify our run rate adjusted EBITDA that exceeds $1 billion on its way to north of $1.5 billion for 2023, even before accounting for FLNG cash flows, which depending on pricing and timing could be an additional $1 billion next year alone. On Page 21, we wanted to show a comparison of what we said at the IPO and where we are now. At NFE, we are crazed about operational data capture and measurement and the same goes for our financial performance. This comparison shows what we projected at the time of the IPO roadshow in January of 2019 and demonstrates the tremendous evolution of our business. If you were to go back and look at the IPO materials, we have dramatically outperformed our expectations for fiscal year 2022. At the time of the IPO, we projected around $500 million of adjusted EBITDA, and we will finish above $1 billion. EBITDA per share was forecasted to be $3.30. Since the IPO, we issued new stock as part of the Golar transaction. Taking that into account, we are still exceeding our EBITDA per share estimates by around 40%. Frankly, it’s all very low when you compare it to what the cash flow generation will be once our FLNG assets come online. We think fully built out EBITDA numbers could exceed $4 billion to $5 billion or over $24 a share.
Wes Edens: Yes. Just to interject for a second. I mean, I think going back and looking at the history is a very useful tool. We just like to say around here, anything we’re doing is we’re keeping track of and measuring. Obviously, the projections that we made at the time of the IPO were our best guesses at what we thought the future would hold given the current book of business that we had. We went public in January of 2019. At that time, as Chris said, we projected $500 million roughly in EBITDA in 2022, so 3.5 years forward. Obviously, we’re very happy that we have doubled that. On a notional basis, we’ve increased by about 50% on a per share basis. And the right-hand side is actually something also just to reflect on. Where we sit today, we know that the economic value of generating our own LNG volumes and routing those to our customers through our terminals we’re developing around the world has tremendous upside for us. We’re not prepared to offer specific guidance with respect to what the impact of that would be other than to say from the guidance we provide next year of $1.5 billion. When the FLNG units are deployed, when they are actually up and operating and when we are actually like then translating those volumes into EBITDA, we think it could increase our forecast by 2 to 3 times. So context-wise, time of the IPO, $14 share price. Today, $50 share price roughly, so about 3.5 times from where we started at 3.5 years ago. But on the right-hand side, as Chris said, we – our midpoint of our expectation of what the impact could be on the FLNG volumes is substantial, going from $4.75 to $24. These are obviously estimates at this point as we start to get deployment and as we continue to make progress in the construction and the deployment of these and then the eventual marketing those volumes for Andrew and his team, you’ll start to see these turn into actual numbers. So Chris?
Chris Guinta: Yes. Thanks, Wes. Finally, on Slide number 22, a quick comment on the financial health of NFE. And as you heard from Wes and Andrew, it is very strong. We’ve made significant progress on our financial goals and think we are well positioned for an upgrade by the rating agencies. First box, our earnings growth, combined with consistency is an important part of establishing our financial and operating performance track record. Second, the incredible job that the deal teams have done on the asset sale transactions ensure that our business is fully funded and, frankly, is life-changing. As the transactions closed during this quarter, we will have simplified the balance sheet and removed over $1.4 billion in asset level debt. This deleveraging continues to under 2.0 times as FLNG assets come online. In the third box, we have focused and executed on making our cash flow stable and predictable. We have elongated our weighted average customer term to 15 years, and we’ve continued to expand relationships with investment-grade counterparties like Norsk Hydro and the CFE. As Andrew mentioned and we alluded to in our last earnings call, we were able to close on the upgrade of our letter of credit facility and thank you to the partners in that process for $250 million with $100 million accordion. This optimizes the working capital needs in extraordinarily attractive cost. Wes?
Wes Edens: Great. So let me introduce the hydrogen section, and I’ll turn it over to Patrick Hughes to give us an update on kind of the activities in Washington. As I mentioned earlier, the – to really achieve a fully decarbonized future, hydrogen needs to play a very, very meaningful role. When you look at the pillars of our industrial production in the world, so the production of steel, the production of concrete, the production of plastics, the production of ammonia for fertilizer, all those activities contribute significantly to economic stability and growth, all those activities use a substantial amount of fossil fuels, coal for steel production, natural gas for the production of ammonia and concrete. And obviously, the oil industry plays a huge role in the production of plastics. So when we talk about a decarbonized future, much of the focus is on electricity, and that’s great. But fully two-thirds of the greenhouse gases that are emitted come from industrial activities that cannot be electrified. That’s the key point on this. In that regard, hydrogen is clearly going to be a huge, huge component of all this. With the announcement by Senators Manchin and Schumer of the bill that is currently being considered by Congress right now, it really positions the United States to be in the gun sites as the world leader in the production of clean hydrogen, green hydrogen, blue hydrogen, et cetera, through these production credits and other activities. And then I’m going to turn it over to Patrick to talk about this in a second. It was actually a coincidence in terms of the timing, but we did – we have been talking for some time about taking FID on our first project in Texas on the green hydrogen side. If you look on Page number 25, each of the major components of that project are now in place, and we anticipate actually declaring FID in the next 30 days. So the site has been procured. We have permits. We’ve actually obtained renewable power. We have water as a feedstock for the production of it. We have water to take away the capacity. We have a pipeline that are available for it. And lastly, we have selected Plug as our electrolyzer technology and our partner to produce this with. We anticipate 120-megawatt project. I’ll leave Patrick to talk through the financing of the terms of this. But we believe that this is the first of many, many of these projects that will get built result of this bill should it come to pass as we expect over the next 30 days or so. With that, let me just turn it over to Patrick to talk more specifically about both the project and what our activities we see happening in Washington. Patrick?
Patrick Hughes: Sure. Thanks, Wes. So maybe just with respect to the Washington activities first, as Wes has alluded to, we saw leaders in Washington last week, including, of course, Senator Schumer and Manchin, really take a strong and long-awaited endorsement of clean hydrogen as a key climate solution. So in this bill, which is called the Inflation Reduction Act, as many of you know, there is a production tax credit under Section 45 of the federal tax code, that’s $3 per kilogram of clean hydrogen produced. And I emphasize the word clean, because while it applies to both green and blue hydrogen, we do have to be quite mindful of the emissions profile on a life cycle basis of what we’re producing. The good news is that we’ve spent a good bit of time in Washington, Wes in particular. And we’ve been anticipating this legislation and precisely kind of the way that it’s come together and the details of it. So we’ve been working for the last many months to put the key ingredients that Wes has just described of our projects together. We do anticipate that voting will begin shortly on the bill. We do believe that a bill that includes that $3 per kilogram credit has a high likelihood of passage at this point. And in general, again, as Wes mentioned a moment ago, this tax incentive and kind of the scope and extent of it, we believe, substantially alters the economic picture for producing hydrogen in the U.S. and affirmatively makes our country the world’s leader in the production of clean hydrogen. On the projects themselves, as you heard, we’ve announced a partnership with Plug Power this morning. We’re quite proud of that. They are a leader in what’s called PEM Electrolyzer Technology. And so they’ll be supplying actually a series of 12, what are called, arrays to support our 120-megawatt facility. At operations, this is expected to be one of the largest of its kind in North America. So truly an industrial scale facility that we think is kind of a model that will have quite an impact on the way that this space evolves over time. And we are proud to be at the very, very forefront of the sector with the way that we’ve positioned and kind of put all these ingredients together, inclusive of our arrangement with Plug. We have much more to share on this front, including other participants in this particular project, some of the project economics, financing details and then our commercialization plans. I look forward to reconvening with probably a similar group to what is on this earnings call today, maybe in the course of a couple of weeks to provide that additional information. Lastly, on Slide 26 and just very briefly, we’re also now underway on a blue hydrogen project in the Northeast. This is slightly different, of course, than what we’re developing in Texas in the sense that it’s meant to benefit from the proximity to stranded natural gas in the Marcellus, which will offer us ample low-cost feedstock. Like our green hydrogen project, we’re putting the pieces together now and we’re positioning that facility to be one of the largest of its kind as well, again, slightly different approach than the green hydrogen facility that we’re developing in Texas. So much more to come on this front. And again, we look forward to sharing some additional information on the projects in our hydrogen business overall in the very near future. Wes, back to you.
Wes Edens: Yes. The – as I’ve said before, our goal in the hydrogen business was to, first and foremost, to create an economically viable project that had stand-alone economics that were compelling on the basis of that individual project. And I think with this first one that we announced here in Beaumont, we believe we have – very much have that as the case. Number two is, we want to provide transparency on all the details that are relevant to investors. And that’s exactly what the details that Patrick was talking about, both in terms of the raw economics, unit economics for the plant, but then also what the commercial activities are the financing and what we think the that ends up resulting to in a return of equity to us and our shareholders. Three is, then to provide a meaningful road map to then turn this from a project into a company to address what we believe is a massive, massive need for hydrogen on an economically viable basis to really be the participant in the climate change transition that we think that it actually needs to be and deserves to be. And when all that comes to pass, as we said before, I think we will definitely look hard at the notion of actually separating this activity from the rest of our activities to give it its own characters, its own investability to give investors the chance to invest directly in this project. I get asked often by friends, by investors, by other folks, what I view as the best way to invest in energy transition. In terms of the economic profile of our company, we believe that actually connecting both the production of gas and LNG on the front end with the downstream activities on the other side, that’s the core of what our mission is. That’s the core of our business, and we feel like we are very much following exactly the blueprint that we laid out 3.5 years ago when we first went public. With respect to the energy transition, to a true clean energy future, we believe that this element, this company could be one of the true leaders in that transition. The United States with the leadership of the members of Congress that are behind us, we think has given a very, very, very strong platform to create that opportunity and that growth. And we look forward to talking to people, as Patrick said, in much more detail here as this moves ahead.
Brett Magill: We’ll go ahead and take it into Q&A. Emma, if you’d like to transition us there, please.
Operator: Certainly. [Operator Instructions] We will now take our first question from Devin McDermott, Morgan Stanley. Please go ahead. Your line is open.
Devin McDermott: Good morning. Thanks for taking my questions. So first, just congrats on the great progress across all of the initiatives here this morning. It was a very helpful update. My first question is on Fast LNG. And I wanted to ask specifically on the Louisiana permit process. You mentioned you’ve refiled the permit addressing some of the comments that came in. Can you talk a little bit more about what changes are made in the refiling, whether there’s any design changes that came along with that and what this means for that approval timeline?
Cameron MacDougall: Yes, sure. Happy to. This is Cameron. And I work with Wes and help me up these efforts. The short answer is a very productive set of initial questions asking standard additional request for information. We probably filed that back on the 26th of July, and it’s been reviewed by the regulators now. So a very positive first interaction.
Wes Edens: The first set of questions from the regulators, I think, totaled 92 questions, which relative to our experience in permitting other projects, is actually a fairly light touch. There’s obviously a lot of – we filed, as I said, an 8,000 page application. We’ve got Cameron as the General Counsel, but call me, we have a whole team of very, very talented and experienced folks. We filed what we believe to be a very complete application. The results is kind of numerically of 92 comments, we think, is a fairly light touch. We’ve been refiled that as Cam said a couple of weeks ago, and we very expect – we very much expect to continue to make a significant process. There was no real design changes that were material that were requested nor do we make. And so just like when you’re building a house, the last thing you want are really the design changes, that’s what kills schedule, that’s what costs more money, that’s what confuses people that are permitting it. Our goal with this unitary design was to avoid all of that. And we spent a huge amount of money and time and effort to try to come up with the unitary design that we think makes sense. And hopefully, that’s been reflected in the progress we’re making on this.
Devin McDermott: Got it. Very helpful. And then my second question is on downstream terminals. You had a very helpful update on that. And you mentioned that you’ve made some additional progress and are optimistic on Ireland. My question is at a high level, can you talk about what gives you additional confidence in Ireland, the process there? And then I know you also called out South Africa in the map. So just a little bit of an update on the opportunity there would be great.
Wes Edens: Yes, sure. Thanks, Devin. So in Ireland, just a lot of good activity on the permitting side, not actually dissimilar to kind of the process we just went through, but in a much more advanced stage. We’ve done a ton of work around permitting there. We have interaction with the agency that suggests, we’ve answered all the questions and are kind of at the end. They have a formal date in September to give us an answer. And so kind of all those things, admission to our interaction in Ireland and seeing kind of the energy security situation make us think that the project has a great basis for going forward at or before that date in September. So I think that’s the main issue. The other thing to call out there is, I think, sometimes it gets lost that permit application also has 600 megawatts of power associated with it. And so not only do they have energy security issue on gas, they certainly have a power shortage issue in Ireland as well. And a lot of the future of – so overall, like kind of demand data centers and otherwise in Ireland is based on increasing power. So both those things lead us to believe we have increasing chance of successful conclusion of that process. In South Africa, we called that out because we are actively working on development there. That’s been a country that we’ve targeted as a very long time for having the kind of basic fundamentals that we think are really attractive for LNG. So large population growth, large power demand growth and a country that effectively burns coal and oil-based fuels today has almost no gas penetration, some LPG penetration. And so we’re working on a development there. Of our development, it’s the most early stage, but it’s similar to our other projects in terms of being cited in Richards Bay, which is a place of huge industrial and power demand and we would also plan to connect that to our own power development as well. So more to say on that as we go forward. But I wanted to be clear that as we progress our downstream development efforts, South Africa is kind of obviously in our sights is the next thing.
Devin McDermott: Great. Thank you very much.
Operator: Thank you. We will now take our next question from Ryan Levine from Citi. Please go ahead. The line is open.
Ryan Levine: Good morning. In terms of your hydrogen project, can you provide some color as to what’s the background of how that project came together? And what’s the practical implications of the IRA for that particular project?
Wes Edens: Well, the background of the projects, I think it was 2.5 years ago, we identified hydrogen as the true clean transition fuel and really began a process at that point of evaluating technologies, electrolyzer producers and projects kind of worldwide. The fruit of that labor is the agreement that we signed with Plug yesterday, which is the technology that we picked for this first project. Incremental to that, we lay out on Page number 25. There are a number of other aspects of the development that had to get solved for in order to turn it into a truly FID-able or executable transaction. The site we selected is in the Port of Beaumont’s purview, it’s proximate to a site that our infrastructure fund owns. We have a lot of experience in that sector. It is one that is ideal both with respect to its access to water and its access to hydrogen pipeline. So there’s petrochemical users and downstream users up and down the Gulf Coast that actually can access it directly. We had to pick in the electrolyzer technology. The financing profile of this is similar to what we’ve done with other infrastructure projects in that area. So we believe we can access affordable and very actionable financing for it. So it has all of the major attributes that we would look for in terms of making it economically viable. The last real piece that’s a material one now is this production credit that actually then moves the economics from a modestly profitable transaction to one that we now think is actually one, which is compelling and can be the template for a number of these. As I think Patrick said, with this project, we think it is the largest green hydrogen project that will be built in the United States. That said, it is a very small fraction of what’s needed. And so be the green hydrogen project, blue hydrogen project, so I think this is the beginning of a new industrial age for hydrogen in this country with this bill. And it sounds like a very substantial statement, but it’s what I actually feel about it. And you can’t really finish until you start. And so having one project that is economically viable, it is shovel-ready and financeable and ready to go, is what gives us a lot of confidence that this is the right path for us.
Ryan Levine: And then a follow-up on that. In terms of the financial benefit of the IRA for this particular project, is there any numbers you can put around in terms of the impact? And then maybe just in terms of the alternative minimum tax provision of this proposed legislation, how would that impact New Fortress? And do you see any ways of mitigating any alternative minimum tax restriction or implication?
Wes Edens: Well, it’s a $3 production credit. The one number to take away from the bill is $3. So $3 a kilogram makes us again from something which is modestly profitable, something that is actually very attractive returns, both unleveraged as well as returns on equity. So $3 in production credits are what is in the bill right now. That’s what Patrick and our folks in Washington believe is likely to be enacted. And now we just have to see Congress do their work over the month of August and hope that, in fact, as it’s written is we’ll get put into law. But that’s the next thing to keep track of. And as I said, I think with this production credit, you will move the U.S. into the Vanguard of actually being the green hydrogen production in a place where everyone wants to do business. So the first one of these, which we’re doing, we think is a great profile for people to emulate and look at, but we think it’s the first of many, so.
Ryan Levine: And then in terms of the alternative minimum tax, do you think that’s going to impact your purchase synergy?
Wes Edens: I don’t.
Ryan Levine: Okay. Thank you.
Wes Edens: I don’t. Not at all. Thank you.
Operator: Thank you. We will now take our next question from Craig Shere from Tuohy Brothers. Please go ahead.
Craig Shere: Good morning. Exciting times. So two questions here. Can you further opine on the long-term vertical integration benefit of your upstream merchant plans and your downstream assets? And I’m taking as an example, specifically, the Barcarena plants under 25-year JKM linked to PPA and any other related opportunities? And then on the short term, I was wondering if there’s been any change in the amount of your pre-energy crisis contracted LNG supply that’s been redirected from the downstream since the last quarter?
Wes Edens: Hey, sure, Craig. Thanks. I’ll start off. So yes, I think you hit on the Barcarena PPA, right. Super attractive for us because it has this very unique combination of duration, 25 years. And then the price is JKM. So a great contract for us. In terms of your mention of vertical integration, that’s a – it’s a good example because it’s a great thing that we could supply from a third-party contract where we buy LNG. It’s also a great thing that we could supply from our FLNG in the Gulf Coast. So the PPA start date there is mid-2025. And actually, transportation from the Gulf Coast to Barcarena is pretty advantageous. So I think that does give a good example of kind of the potential vertical integration as well as the flexibility we have in the portfolio. And so it’s a good example of what we’re trying to build long-term duration at good prices.
Patrick Hughes: Yes. And the question of – this is may not be the question you’re asking, but a related question on vertical integration is, this quarter is a very meaningful one for us with the Pemex partnership. And this is the first time that we’ve actually obtained molecules in the ground. Now we’re not taking ownership to them. We basically are going to complete the wells, bring them onshore and park in part to our liquefier in partnership with Pemex. But in effect, we actually are getting the benefit of actually of the molecules as if we own them. That’s a very, very logical extension for us right now. So basically, we have started our business by going downstream to customers, and have gradually over the last number of years, worked ourselves back further and further to the upstream end of the equation. So you have downstream terminals, you have logistics, you have the shipping, you have liquefiers. And now with this Pemex this is the first of what we think, could be a number of meaningful transactions in the long-term for us to then look to obtain our own molecules to really complete that integration because I tell our guys all the time here, the business that we’re in is that we buy gas in our portfolio. We have a very substantial portfolio that’s growing with the addition of the FLNG volumes. We then contract to sell those molecules in those – either in the form of power or gas in a very long-term and very long duration on the other end of it, provide all the logistics and all of the shipping and everything in the middle of it and we got to keep whatever is left. And so in that sense, we are very vertically integrated today and this Pemex transaction is a meaningful step, one, to the logical conclusion of actually locking in your own molecules to complete that cycle. Then it’s just a spread business. It’s a spread business with very, very long duration. We think that is the most attractive profile in the entire investment universe. That’s the business that we are – we have created here, and we’re going to continue to pursue. So thanks for the question.
Craig Shere: Thanks. And the shorter-term this year on any further FLNG that has previously contracted being redirected from your own downstream?
Wes Edens: We have our portfolio. I mean as – the couple of slides that I skipped over at the beginning. When you look at the amount of gas that is needed in Europe versus what is currently being provided, the amount of storage, which is currently utilized, which is just under 70% versus the 90% that they need for this year. That is just Europe. And of course, that plus everything else around the world, the world is desperately short natural gas, and it’s going to be short, in my opinion, for a number of years as they now move very, very quickly to both create additional supply and also look for additional sources of energy. So there is not a lot of marketable supply that’s available right now in the marketplace. So we’re blessed to have the portfolio that we have. We’re blessed to be largely matched up with the needs of our customers. So we’re simply like actually operating within the confines of what the market allows us to do right now. The one incremental benefit to that obviously will be when those FLNG volumes turn on sometime next year and then through 2024, then we’ll have incremental supply that we can then deal with. But right now, we’re very much in a good position of being long. What we’re long? We have customers that we serve. We haven’t had disruptions to our customers, which is great. We don’t anticipated any disruptions. And that’s why the focus on the FLNG will allow us then to add to that portfolio to then be able to create incremental supply for all those downstream terminals.
Craig Shere: Thank you.
Operator: Thank you. There are no further questions. I will now turn the call back to Mr. Wes Edens.
Wes Edens: Great. So thanks, everyone. So just the recap, obviously is a heck of a quarter. On the earnings front, number one. Number two, the progress on our terminals, which are not to be diminished, but the large-scale terminals in Brazil, the prospective large-scale terminal in Ireland, South Africa, those are all things that we think have made massive amounts of progress, and we feel great about it. Number three, on the FLNG front, the construction of it continues to pay. There’s no real surprises there. Everything is actually moving as we expect. Our deployment options for deploying those first units have gone from one to three, which is a meaningful addition in terms of getting permits in the ground and having places to put it. So the one site in Louisiana, which we’ve made great progress with, now in Altamira as well as Lakach fields. So we’ve got a total of three different places to put it with access to gas that obviously three is much greater than one. It gives us a lot of comfort that we’re in fact going to be able to deploy those units as soon as they are completing manufactured. And last and certainly not least is we really have put check the box in terms of being able to self-fund our activities and not need to go back to shareholders or the marketplace for raising additional capital. So by all measures, we think it was – has been a terrific quarter and the prospects for the rest of the year look right. So thanks very much. Look forward to speaking to you next quarter. Thank you.
Operator: Ladies and gentlemen, we’ll conclude today’s conference. You may now all disconnect.